Operator: Good day, ladies and gentlemen. And welcome to the Wireless Ronin Technologies Fourth Quarter and Full Year 2010 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct the question-and-answer session, and instructions will be given at that time. (Operator Instructions) As a reminder, today’s call is being recorded. At this time, I would now like to turn the conference over to your host, Erin Haugerud, Manager of Communications and Investor Relations. You may begin.
Erin Haugerud: Thank you. And welcome everyone to our 2010 fourth quarter and full year conference call. With me today are Scott Koller, President and Chief Executive Officer; Darin McAreavey, Senior Vice President and Chief Financial Officer; and Terri Sayler, Senior Vice President of Sales and Marketing. After Scott’s opening remarks, Darin’s financial review and Terri’s sales update, we will open up the call to your questions. Today’s call will be an interactive webcast that will feature presentation slides of fourth quarter and full year 2010 results. To access the webcast, please visit the Investors section of the corporate website at www.wirelessronin.com. Please note that the information presented and discussed today includes forward-looking statements, which are made under the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. Our actual results in future periods may differ materially and you should not attribute undue certainty to our forward-looking statements. Risks and uncertainties that could cause our actual results to differ from those expressed or implied by forward-looking statements include those set forth in the risk factors section of the annual report on Form 10-K we filed on March 26, 2010. In addition, our comments may contain certain non-GAAP financial measures, including non-GAAP operating loss per share. For additional information, including a reconciliation from GAAP results to non-GAAP measures, how the non-GAAP measures provide useful information and why we use non-GAAP measures, please see the reconciliation section of our press release, which appears on our website at www.wirelessronin.com. Now, I’d like to turn the call over to Scott.
Scott Koller: Thanks, Erin, and good afternoon, everyone, and thank you for joining us on today’s call. I would like to start by mentioning the previously announced leadership transition that took place January 1st of this year. First and foremost, let me say that it’s my pleasure to speak to all of you today in my new role as President and Chief Executive Officer of Wireless Ronin. I look forward to apply my strength with Wireless Ronin and the digital signage straight to my new role. On behalf of the employees and the entire management team, I would like to thank Jim Granger, our former CEO for all of his hard work and dedication to Wireless Ronin, through his leadership Jim positioned WRT for success, we wish him nothing but the best as he transitions from the corporate world to his must deserve retirement. Secondly, we’d like to congratulate Steve Birke on his new role as Chairman of the Board. Steve replaces Greg Barnum and will actively work with the executive management team to provide strategic direction and guidance to ensure the future success of our company. Greg will continue as a Director of the company, as Chairman of the Art Committee and as the Member of the Executive Committee, we thank Greg for his service as Chairman of the Board since September 2008. Now, moving to the fourth quarter and full year 2010 results, the past year brought several significant accomplishments. First, we reached the highest level of revenue in the company’s history $8.6 million, representing an increase of 71% over the previous year. Second, our gross margin continued to expand during 2010, averaging 47%, which represents a 19 percentage point improvement from 2009. Thirdly, our non-GAAP EBIDTA loss for 2010 of $6.3 million was an improvement of $2 million from the previous year demonstrating our continued efforts to achieve profitability. And lastly, with the recent capital raise, we ended the year with over $7 million of cash. Our cash position coupled with the access to a $2.5 million credit line from Silicon Valley Bank and zero debt provides a very strong balance sheet and available capital entering 2011. I will now turn the call over to Darin for more in-depth review of our financials for the fourth quarter and full year of 2010, followed by Terri Sayler’s update on sales and marketing. Afterwards, I’ll add some additional thoughts prior to opening up the call for Q&A.
Darin McAreavey: Thank you, Scott, and good afternoon, everyone. We reported revenue of $2.9 million for the fourth quarter of fiscal 2010, an 89% increase from $1.5 million then last year’s fourth quarter. As of December 31, 2010, we received purchase orders totaling approximately $1.1 million that have not recognized this revenue. The increase in our year-over-year revenue continued to be generated primarily from the success of Chrysler’s iShowroom Branded Tower initiative. In November 2010, we received an order for approximately $1 million from Chrysler to outfit an additional 100 dealers with Chrysler’s retail Branded Tower program featuring the iShowroom application. This brings the total number of orders we have received from Chrysler to-date to $2.2 million for 200 dealers displaying 800 branded towers. Chrysler has indicated that dealer interest in the program remains strong and we believe additional orders will come via blank PO [ph] issued in November 2010. Terri Sayler, Senior Vice President, Sales and Marketing will add color on Chrysler, as well as recap for sales and marketing initiatives throughout 2010. Our recurring hosting and services revenue during the fourth quarter 2010 totaled $391,000, representing an increase of 80% from the same period in prior year. Revenue for fiscal 2010 totaled $8.6 million, compared to $5 million for 2009, representing an increase of 71%. The increase in revenue when comparing fiscal 2010 to 2009 was attributable to revenue generated from our marquee customers, including Chrysler, ARAMARK, YUM!, Thomson Reuters, in addition to new customers. Lastly, our recurring hosting and support revenue increased a 140% in 2010 to $1.3 million when compared to 2009. The results of an expansion in customer base from our new deployments. In the fourth quarter 2010, gross margins averaged 46%, up from 37% in the fourth quarter of 2009 and down from 50% from the third quarter 2010. The sequential decline was primarily due to the additional costs incurred to fulfill the deployment of the Chrysler retail branded tower program and related volume pricing. Gross margin for fiscal 2010 averaged 47% of $4 million, representing 180% increase in gross margin dollars over the prior year. We continue to caution our investors that our ability to maintain these levels of gross margin percentages can be impacted in any given quarter by shifts in the sale’s mix, competitive landscape and timing. However, we continue to believe over the long-term our gross margin percentage will increase as recurring revenue gross. On a GAAP basis, our fourth quarter fiscal 2010 net loss totaled $1.7 million or $0.09 per basic and diluted share, an improvement from our net loss of $2.2 million or $0.13 per basic and diluted share a year ago. For fiscal 2010, our net loss totaled $7.9 million or $0.44 per basic and diluted share, down from $10.2 million or $0.67 per basic and diluted share in the prior year. Our net loss during the fourth quarter improved over the same period the prior year as a result of an increase in gross margin dollars of approximately $800,000. Sequentially our net loss increased by approximately $300,000, primarily as a result of outside consulting costs. Excluding one-time expenses and non-cash charges, the fourth quarter fiscal 2010 non-GAAP operating loss totaled $1.1 million or $0.06 per basic and diluted share versus a non-GAAP operating loss of $1.7 million or $0.10 basic and diluted share in the fourth quarter of fiscal 2009, sequentially, our non-GAAP operating loss increased by approximately $100,000. Our non-GAAP operating loss for 2010 totaled $6.3 million or $0.35 per basic and diluted share, representing a $2 million improvement from 2009 non-GAAP operating loss of $8.3 million or $0.54 per basic and diluted share. With our commitment to making further investments in Ronin X software, tradeshow expenses and additional consulting costs, we state our operating expenses will increase in the near-term. However, we are still very much dedicated to achieving a non-GAAP EBIDTA breakeven quarter in 2011. Included in today’s earnings release and financial results is a reconciliation between the GAAP and non-GAAP operating loss. This highlights one language. We looked at profitability and cash utilization for the company. It is similar to EBIDTA but adjusted for certain other one-time and non-cash items. This supplementary schedule details the items and affects of non-cash and one-time adjustments. Turning to balance sheet. At the end of the fourth quarter fiscal 2010, cash, cash equivalents and combination with restricted cash totaled approximately $7.1 million, compared to $6.6 million at the end of September 2010. Our cash burn for fourth quarter excluding the net proceeds from the November 2010 capital raise was approximately $1.1 million, which again marks the lowest quarterly cash burn since becoming a public company and a sequential improvement of approximately $400,000. January 2011 we entered into an amendment to our loan and security agreement with Silicon Valley Bank which extends the term through March 2012 and provides us more flexible financial covenants, withdrawing down the 2.5 line-of-credit – million line-of-credit but we have not yet borrowed against this facility. With the recent savings and operating costs and assuming continued recent improvements in the business, we believe our current cash balance, access to capital is sufficient to support our operations through fiscal 2011. In summary, 2010 showed positive momentum across our business with record revenue and gross margin, along with an improving non-GAAP operating loss and cash burn. For 2011, we will remain focused on further improving our financial results and pursuing the delivery of best-in-class software and services to our customers. I’d like to turn the call over to Terri Sayler, Senior Vice President of Sales and Marketing for an update.
Terri Sayler: Thank you, Darin. It’s my pleasure to speak with you today and provide you with the sales and marketing highlights from our 2010 fourth quarter and fiscal year. The automotive industry continues to accelerate and is one of the major contributors to our growth. Revenue generated with Chrysler totaled $4 million for fiscal 2010, which was up 457% from the prior year. In addition to the orders received for the Branded Tower program, we continue to provide developments and training content related to the iShowroom initiative. As Darin highlighted, Chrysler completed the first installation of the iShowroom Branded Tower initiative to 200 dealers, which yielded the placement of 800 towers in 2010. We believe additional orders will come under the 2010 blank PO [ph]. As a result of the Branded Tower initiative, we have seen a significant increase in dealer usage which is now equal to usage of the web interface and growing. Web and iShowroom Branded Tower’s combined, we average approximately 10,000 clicks per day, meaning sales consultants or customers either touch the screen or click about 10,000 times a day across the entire network. We outlined in our last call that Chrysler has not generated our only activity in its key vertical. We are engaged at various levels with several automotive manufacturers in addition to our work with Chrysler. Moving to our work in the food service industry, KFC continue to expand its digital signage network, which now brings the total number of KFC stores fully hosted and supported through our net [ph] to approximately 200 at the end of 2010. As we indicated in our last call, KFC completed its 2011 budget process, the results of which are not yet public. KFC has included digital signage as part of their marketing activities and it remains a part of their plan moving forward. We continue to work closely with KFC to extend their digital signage initiative. We’ll provide additional details when it becomes available. Now moving to our work with ARAMARK. Sales for 2010 to ARAMARK totaled $1.1 million, representing an increase of 4%, as compared to total sales in 2009, with the continued deployment of its food concept. ARAMARK continues to rollout a brand refreshes for Burger Studio and Topio, as well as several new installs in healthcare and corporate account. The total installed base coupled with scheduled deployments is currently over 90 sites. During 2010 WRT also added several other new clients, including Snap Fitness, Mall of America, Taco Bueno and Mooyah. In the fourth quarter Snap Fitness continued its digital signage rollout to its fitness centers across the United States. We imaged and shipped a thousand media printers to Snap Fitness and will continue to deploy across all locations. We’ve also enjoyed a glorying relationship with the Mall of America that continues to expand its digital signage footprint as it remodels each screen of the mall. The screens are raised throughout the mall and are highly visible to all passing foot traffic. Featuring advertising for Mall of America stores, restaurants and entertainment venues, as well as special (inaudible) the system ensures that Mall of America guests get the most for – from their shopping, dining and entertainment experience with up to the minute information. Once the project is complete, WRT will have approximately 110 displays installed throughout this marquee venue. Taco Bueno, a Mexican quick serve restaurant with nearly 190 locations, selected WRT for our proven software platform, expertise and content engineering and network support to ARAMARK [ph]. WRT work closely with Taco Bueno to develop a flexible solution. This implementation fit its branding and communication needs and helped to comply with future nutritional labeling laws using day part scheduling to maximize menu board messaging space. Last quarter, we also mentioned our new relationship with Mooyah, our rapidly growing, fast casual establishment. Mooyah selected WRT because of our understandings of the restaurant’s unique and creative atmosphere while offering a highly scalable and reliable solution. Mooyah plans to implement not in cash promotional boards at 17 of the restaurants in 2011 due to the success of the five systems now in place. Our partnership with Thomson Reuters continues to grow. Sales increased substantially in 2010 compared to 2009 as we continue to expand the number of Infopoint digital signage locations. As of December 31, 2010, we had a total of 350 locations in 50 countries which we actively support through our knocks. As we stated on our last call, we are installing the Thomson Reuters Infopoint system in 50 locations of a financial institution with approximately 3000 sites. WRT continues to be recognized in the digital signage industry. We have the opportunity to be the presenting software sponsor of the 2011 digital signage expo that took place in Las Vegas in February where we were privileged to have three key clients receive four awards. Thomson Reuters received a bronze Apex award in the public space’s category and a silver Content Award in the Interactive Informational Directional category both for the Reuters Insider – both for Reuters Insider. Our Digital Media Group LLC, an advertising based communication company, won a bronze Apex award in the new concept category, and ARAMARK won a bronze Content award in the Non-Interactive Informational Directional Category for its work with Topio. We continue to make strides in our sales and marketing efforts and we are very pleased that these efforts continue be the recognized. It’s rewarding for our team to see that our continued innovation and hard work is recognized by the industry. Now, I would like to turn the call back over to Scott for closing remarks.
Scott Koller: Thank you, Terri. In closing, I would like to summarize, first, 2010 represented not only the real potential of WRT, but also the much anticipated potential of the digital signage industry as a whole. With a more cooperative economy, we saw a tremendous increase in our business with our current marquees and new customers which resulted in a 71% year-over-year growth in revenues. The power of digital signage is starting to match the heights and the long anticipated success of the industry. Interest and adoption of digital signage continues to grow as the ability to improve ROI gains further traction. Pilot and market test, coupled with a continued decline in hardware costs and our ability to provide tangible ROI to our clients provides real data that digital signage can and will drive sales. The ROI (inaudible) further enhanced in 2011 as our clients through the 2010 tax relief bill are incentivized to invest in capital expenditures, which we believe will further accelerate the adoption of digital signage. Secondly, as Darin highlighted and as it is illustrated in the graph, our financial results demonstrate our business model works and that we will continue to drive our company toward profitability. And lastly, WRT is committed to (inaudible) of building both client and shareholder value. As mentioned in our recent press release, we’ve engaged Michael Howe Associates to work with our team to (inaudible) us strategic and tactical ability as positioned for long-term success. This engagement exemplifies our commitment to building a company that’s scalable and provides sustainable growth. My tenure as Wireless Ronin CEO has only just begun. I have worked in the digital science industry since 2004 shortly after (inaudible) the company and I have watched this industry grow and change in so many ways. Likewise Wireless Ronin has grown and experienced significant change. We are no longer just a story. Wireless Ronin has tangible growth, not only do our marquee customers, Chrysler, KFC, ARAMARK and Thomson Reuters fuel our growth for our customers in food services, automotive and branded verticals do as well. All of our customers represent a tremendous opportunity for growth. We believe we have only just scratched the surface of our large marquee customers and just as exciting, we are developing opportunities for new customers under the experience sales management of Terri Sayler. I want to thank the board for having the confidence in my leadership. The board believes that this promotion is exclusive with responsibility by discharge as President with the support of the board, we have assembled an extremely capable management team. The combination of a determined board of Directors, Michael Howe Associates for strategic guidance and a strong management team, WRT now has the pieces in place to realize its full potential. While we continue to focus on execution in the short term, we believe that the long-term prospects for our company have found the combination of people and strategy necessary to make Wireless Ronin a success. Before we close the call, I want to reiterate that I am committed to Wireless Ronin, and committed to its effort of making the company profitable and also creating value for our shareholders. I want to thank the employees of Wireless Ronin, the Board of Directors and the shareholders for their continued support. Thank you for joining us on today's call and we look forward to your questions.
Operator: (Operator Instructions) Our first question comes from Ryan Wright with Northland Capital.
Ryan Wright – Northland Capital: Hey guys. Thank you for taking my question here. Just, in terms of the timing of the $1.1 million in additional Chrysler revenue, do you expect to recognize substantially all of that in the 1st quarter then or will some of that enter the second quarter?
Darin McAreavey: Yeah. The majority of that will be recognized in the first quarter. You are referring to the backlog that we entered into Q1 with?
Ryan Wright – Northland Capital: Yeah.
Darin McAreavey: Correct. Yeah. The majority of that will be recognized in Q1.
Ryan Wright – Northland Capital: Okay. And just to make sure I am right here, that refers to the Chrysler orders that you have announced previously, right?
Darin McAreavey: The bulk of it is Chrysler related. Yeah, the majority of that is Chrysler related.
Ryan Wright – Northland Capital: Okay. Excellent. And you said that you are in various levels of talks with other auto dealers. I know you can't get into too much clarity there, but could you give a little sense in terms of the stage of the process that you are in with any of those and if any of them are toward the more – toward the end stages?
Scott Koller: I am going to let Terri address that question.
Terri Sayler: I would say that relative to the sales cycle, we have some in the beginning, and there are some toward the end. So, I would like to think that we will be able to bring those to closure in the near future, but they are in various stages of the sales cycle.
Ryan Wright – Northland Capital: Okay. Excellent. And just finally here, with respect to the QSR market, more of the 5000-foot view, are you seeing continued general interest in uptake with respect to digital menu boards going forward with, I guess, other QSR's other than just KFC?
Terri Sayler: Absolutely. I think that the tipping point is here. I think that the menu labeling law is becoming a reality. I think that they understand that the only way to manage that with any kind of efficiency is going to be digital, but the interest certainly is there from several perspective.
Ryan Wright – Northland Capital: All right. Excellent. Thank you very much.
Scott Koller: Thank you, Ryan.
Darin McAreavey: Thanks, Ryan.
Operator: Our next question comes from Dick Ryan with Dougherty.
Dick Ryan – Dougherty: Good afternoon guys.
Scott Koller: Good afternoon.
Dick Ryan – Dougherty: So Darin, what is this with the additional consulting costs and your comments on OpEx, what is that push breakeven too at this point?
Darin McAreavey: As we stated on our last call that we were entering into the fourth quarter at that time at a 4 million – planned 4 million breakeven and the one thing at the time we were unaware of is entering into the Michael Howe, the Howe Associate agreement, so that was an incremental expense that was unanticipated. We had a few others that hit during the quarter that I would classify kind of as a one-time charge. Although as we enter into 1Q, we do get the retick of the FICA for the employees, I did finish up writing the audit so I have some additional professional fees that will hit in the first quarter as well. And then the big one is the front-end load of the marketing expenses specifically with the DSC trade show and I will have some – the remaining expense related to the Howe Associate expense as well.
Dick Ryan – Dougherty: So, Q1 will be above the $4 million level? What happens after we get to some of these front end loaded…
Darin McAreavey: Correct. The expenses will be above $4 million level and as we get into Q2, our plan would be to get back down to that level.
Dick Ryan – Dougherty: Okay. Terri, you went through the customers. I didn't catch the sales that you attributed to Thomson Reuters in 2010? Do you have that number? And also with that, how far are you through the implementation of the 50 sites for the financial institution?
Terri Sayler: We are about halfway through the implementation of the 50 sites and our Thomson Reuter sales for 2010 was less than 1 million.
Dick Ryan – Dougherty: Okay. If my math is correct from my previous work, it doesn't look like there was any growth than in installations at KFC or ARAMARK during the fourth quarter? Because I thought KFC was right around that 200 or 205 level and ARAMARK was at 90 in September. So we didn't see any additional installations there?
Terri Sayler: Minimal. The bulk of our increase in those two customers were previous to fourth quarter.
Dick Ryan – Dougherty: Okay. And then, Scott, previously you were talking about the work you have been doing with the top dozen or so QSRs. Has that number changed and can you give a sense of, kind of, what is going on in pilot [ph] activity and what’s going on with RFP activity?
Scott Koller: As we report, 2010 represents an tremendous opportunity into (inaudible) as far as the amount of RFP's and RFI's we are responding to. There is no change in status as far as the number of QSRs that we are in market touch with. As we have previously mentioned six of the top 12, each of the clients are in various stages and we still make tremendous traction with them. However, they have not moved through a rollout at this point in time but as far as still having the opportunity in front of us, Dick, nothing has changed.
Dick Ryan – Dougherty: Okay. I will get back in line. Thanks.
Scott Koller: All right. Thank you.
Darin McAreavey: Thanks.
Operator: (Operator Instructions) Our next question comes from Rick D'Auteuil with Columbia Management.
Rick D'Auteuil – Columbia Management: Yeah. I apologize for my voice. I have a cold. But, again, I would like a little more color on the QSR space. Terri, I think you said that one of the drivers here is the health care bill. What are the tastes behind that? What are the penalties, when do they kick in? It doesn't look like anybody is going to move forward until they are pushed into it. So, maybe if we know where the deadlines and penalties kick in that would give us better color on when we can expect something more tangible as far as a rollout.
Terri Sayler: One of the things that we do expect to hear is on March 23rd, we should hear some further specific outlines of the law. So, it isn't – all the specifications are not in place, but they are pending. It has also been stated by Peggy Binzer, who is a lawyer that has – we’ve worked with and has also presented at KFC, that she feels it is inevitable situation – inevitable law. Additionally, that once the QSRs understand the impact it will have on the business, much like the packaging industry, they will probably be getting on very, very quickly.
Rick D'Auteuil – Columbia Management: I mean…
Terri Sayler: Is there more to add?
Scott Koller: Yeah, yeah. Rick, a couple of factors here. Obviously, the health care and nutritional information is one factor. I think as I mentioned on the ROI side of it, that’s hardware costs continue to decrease and QSRs are looking not only from a nutritional labeling standpoint but also from an operational efficiency standpoint and through promotion, the ability to increase sales and influence customer engagement. I think it is one piece of the dynamic, but we have operational, we are driving sales and then we have space management, it’s where the nutritional law really takes effect, which would then be governed with regulatory fine. So, it’s a lot of moving parts that are all a very compelling story for (inaudible) digital signage with QSR.
Rick D'Auteuil – Columbia Management: I it is here and scratch my head. It looks like based on what happened in 2010 , it looks like nobody is going to make the first move on a roll out until they are forced, so that is why I asked when the penalties kick in. You would think this year would be tax advantaged with the accelerated depreciation of investment tax credit for capital expenditures and you would think they would all be jumping on the starting line and yet, you know, if I listen to this quarter versus the last quarter versus the quarter before that, I am hearing the same thing. They are all just there and ticking it around stage and nobody is rolling forward. So, that’s why I asked, what the catalyst because it seems like there are legitimate catalysts out there yet you have got nothing more tangible to show for it now than you had 90 days ago.
Scott Koller: Yes and no, Rick. I think these are not nimble companies. These are very large corporations, and yes, they have taken a tremendous amount of time to make the decisions. With that said – and I will take KFC specific. They have been able to gather so much intelligence with seven different markets being fully digital and add the complex of having 80% of the stores being franchised. They have to come – again they have a lot of moving parts to implement rollout of this size and the capital expense. They do have plenty of incentives, specifically when it comes to the tax reform bill. And if you were able to speak directly with the clients, you will hear there is a lot more than just kicking around tires. If you were able to go to the DFC show, and see the importance of any boards [ph] during that show you will see that there is a lot more than kicking around tires. Have they been slow to react? Absolutely. Are they going to react? Absolutely. So I think there is more color. I wish I could answer this, but they are far beyond just seeing if this is going to roll out and waiting to be forced to do it.
Rick D'Auteuil – Columbia Management: So, if we are sitting here two and three quarter from now, would you say all of the six out of the 12 of the top 12 that you are talking to will be in a full rollout in that period of time with not necessarily you but somebody?
Scott Koller: That would be pure speculation, but I would be surprised, I guess I will leave that, very surprised that within the next six months that you don’t see rollouts starting to occur.
Terri Sayler: I will go as far as to say just because it is public knowledge, a presentation that Bob felt from (inaudible) was a part of at KFC. He was very open about the fact that they have been considering digital signage for a while. He is a strong, strong advocate. And although he encouraged everybody that the technology is optional, but the time to understand the capacity and impact that this technology would have on your business is not. So, he went on record to encourage all of his counterpart, if they are not looking at it, they better be doing so.
Rick D'Auteuil – Columbia Management: Well, I don’t know if you can share this with us, but what’s the (inaudible) KFC has got 200 stores out there with good data, what’s the compelling return on their investment?
Scott Koller: They have a positive return on investment. I think we’ve stated that at one point they had calculated a 30 month breakeven as compared to print, and they are seeing lift – and we are not positioned to share what we are hearing from them as far as, and quite frankly, they haven’t disclosed completely what they are seeing in lift, but the lift has been compelling enough to move from market to market to market and still have digital mini boards on the – other marketing initiatives.
Rick D'Auteuil – Columbia Management: Okay. Thank you.
Scott Koller: Thank you, Rick.
Operator: Our next question is a follow-up from Dick Ryan with Dougherty.
Dick Ryan – Dougherty: Last one, I am curious, I forgot to ask, what was the contribution from KFC for 2010?
Terri Sayler: Revenue wise?
Dick Ryan – Dougherty: Yes.
Terri Sayler: Give us a moment. We will try to get that number quickly for you. Can you move on to your next question. We will look that –
Dick Ryan – Dougherty: This one is for Darin, looking at the gross margins on the service side sequentially a little over 46 to about 40.5, can you talk about that –?
Darin McAreavey: A lot of that was related to just the additional costs related to our project management, our technical services group and not just rolling out all the Chrysler kiosks for the branded power. So it was really kind of a one-time hit of getting those rolled out and delivered.
Dick Ryan – Dougherty: So, if we see Chrysler rolling out throughout fiscal – throughout 2011 here, should we opt towards the low 40% range then? Will this kind of be reflective of that?
Darin McAreavey: We will assume that as we go forward that our recurring stream will increase and that we’ve stated that we anticipate our margins will increase as that recurring base grows. But we did have to add some contract help labor to roll those out and now this will get further orders from Chrysler, we will have to continue to engage with those individuals to help deliver.
Scott Koller: If we partition it, the initial rollout, the hardware and getting it started in the support to get it networked and online, is that one margin base and then we’ll start adding the recurring. So, on a project base of the rollout, you will expect the lower part of that margin, but overall we are still predicting that the project with recurring is what we are trying for margin. Does that make sense?
Dick Ryan – Dougherty: Yes.
Scott Koller: All right. Thanks.
Dick Ryan – Dougherty: Do you have the KFC number?
Darin McAreavey: To follow-up, Dick, it’s less than a million that we recognized.
Dick Ryan – Dougherty: If you are looking at those four, they are around between 6.5 million and 7 million of the 8.6 million. Can you give a sense of how many other customers make up that additional 1.5ish kind of million dollars in revenue?
Darin McAreavey: That’s probably anywhere from 20 to 30 accounts.
Dick Ryan – Dougherty: Okay.
Darin McAreavey: Somewhere in that neighborhood.
Dick Ryan – Dougherty: Okay. Thanks.
Scott Koller: Yes.
Operator: Our next question comes from Thomas Pierce with Feltl.
Thomas Pierce – Feltl: Hi, it is Tom Pierce here.
Scott Koller: Hi, Tom.
Darin McAreavey: Hi.
Thomas Pierce – Feltl: How do you do guys? A question for you having just return from the digital signage expo in Las Vegas and rolling around there, I happened to go into a couple other booths, more than a couple, but two I saw that were – had screens in their manufacturing – manufacturers of screens, but both of them – both of those booths said content developed by Wireless Ronin Technologies, Inc. Any comments on that?
Scott Koller: Yeah. We have strategic partners. I believe one of them would have been (inaudible) who is a mounting company and I don’t recall the other booth. But we do have – a signage company and View Sonic who is the hardware we are using for the showroom touchscreen kiosk. So both of us are partners and we provide content for them and we go in strategically together for these accounts. So one is (inaudible) one is a hardware for monitors and yes, we actually work with both of them.
Thomas Pierce – Feltl: Very good. Okay. I just wanted to ask you about it.
Scott Koller: All right. Thank you, Tom, appreciate it.
Thomas Pierce – Feltl: Okay.
Operator: Our next question comes from Jack Fred [ph] with Discovery Investments.
Jack Fred – Discovery Investments: Scott, Darin and Terri, what can you say about the competition that is out there? Also, I was out to the conference – it almost seem like there were less software companies in your group according to the product categories in the digital signage – ?
Scott Koller: I am sorry. Jack, continue part of the question?
Jack Fred – Discovery Investments: I just wondered where competition is that you see?
Scott Koller: Yes. It continues to be a highly competitive marketplace. The number of pure software providers has decreased. There are companies over 2009 and 2010 that are either no longer around, have been absorbed into other companies or partnered with other companies and/or did not participate in the show. The number of competitors we run into in typical RFIs and RFPs remain a pretty steady mix and it becomes smaller. So I think the industry is consolidating a lot. I do think there is opportunity here for the leaders in software, which we consider ourselves one of them, to expand our footprint and to take more dominant roles. But it’s still a competitive marketplace specifically because it’s in such infantile stage.
Jack Fred – Discovery Investments: Along with that, can you state how many monitors now that you have online with Mac [ph]?
Scott Koller: Oh, yeah, I think we are 5,500 plus monitors that we are operating from the network operations centers at this point in time.
Jack Fred – Discovery Investments: Okay. And out of that, just so, if I can kind of get an understanding if you have got it in 200 KFC units, that means there are five screens in each unit. So, KFC must represent about a thousand screens? Is that correct?
Scott Koller: Correct. I think it’s a 1100 screens. We have a bigger footprint in the combination stores, the combo KFC [ph] and Taco Bueno combo KFC and Pizza Hut. So it’s about 1100 screens being hosted by KFC.
Jack Fred – Discovery Investments: And how many screens would the 200 Chrysler dealerships represent?
Scott Koller: 800. There are 4 touchscreens per Chrysler dealership in the branded tower initiative and those 4 touchscreens are associated with each of the brand, which would be Chrysler, Dodge, Jeep and Ram [ph].
Jack Fred – Discovery Investments: Okay. And (inaudible) that’s one screen in each center, I take it?
Scott Koller: It’s one to two, but right now it represents a thousand screens.
Jack Fred – Discovery Investments: Okay. All right. That’s all. Thank you.
Scott Koller: Thanks, Jeff.
Operator: Our next question is a follow-up from Rick D’Auteuil with Columbia Management.
Rick D’Auteuil – Columbia Management: Last year you talked about a venture with NEC and where they were developing something called VUKUNET. Can you give us an update on that and what your plans are with that this year?
Scott Koller: Well that was a project associated with NEC. We didn’t talk publicly about a lot of it. NEC now has a free wear, if you will, that goes down and supports ad VUKU advertising network, which is one of their initiatives. So, we have a project to work with them to help with that endeavor; but at this point in time, NEC is a vendor, a partner, a solid one that we continue to work with at multiple accounts, including KFC. And they have their own digital signage free wear which would be applicable for public spaces, space that they are out running very complex schedules in really to host their advertising network ADVUKU [ph].
Rick D’Auteuil – Columbia Management: Thank you.
Scott Koller: Thank you, Rick.
Operator: (Operator Instructions) Our next question comes from Paul Adolf [ph].
Paul Adolf – Analyst: Hi, guys. How are you doing?
Scott Koller: Good.
Paul Adolf – Analyst: The first question is are you getting any interest from any other areas, any other markets that are just showing more interest at this point or are you at the same QSR/automotive/ARAMARK kind of thing?
Teri Sayler: Well, I think a couple of them I mentioned, one of them, you know you have seen some progress in the retailer environments, Mall America being one marquee example of that. We’ve have also made some headway in health care, which we really didn’t mention here, but have done some nice work for some of the local hospitals.
Scott Koller: I think the other key area there is that needs to be highlighted is the work with Thomson Reuters and how the financial side of that could be a very big opportunity for the company. So, yeah, QSR and automotive continue, in our opinion to be, if there is such a thing in our industry, the low hanging fruit that are actively looking at digital science initiatives today, but yeah, there are other verticals in other market that are developing.
Teri Sayler: And I would second the financial piece, and Richard may have seen increased interests there and have added some focus there internally as well.
Paul Adolf – Analyst: Okay. And the financial, so, you said it has just been recent, because I don’t recall in the last few quarters since the initial – you got your initial order from Thomson Reuters that you have seen interest in the financial area?
Scott Koller: Well, it’s not all associated with Thomson Reuters. There are other financial institution that have actually gone to RFP and RFI level that we have been involved with. So it’s not really just Thomson Reuter –
Paul Adolf – Analyst: No, I know, I know. I was just asking if you have – because I don’t recall you mentioning anything in this space except for Thomson Reuters in the financial area. So, are you saying that it was this recent that there was some more interest that came into it?
Scott Koller: Yes. That’s accurate.
Paul Adolf – Analyst: And I am sorry to pressure you on this. Was it this quarter or within the last couple of quarters?
Scott Koller: We saw in the fourth quarter of 2010 and thus far in the first quarter and an increased activity in that space, specifically from the RFP and RFI standpoint and viewpoint. That will be correct.
Paul Adolf – Analyst: And within that space – how am I looking at digital signage in that area? Is it – like in a banking area – how can you – anyway you can describe what…?
Scott Koller: Absolutely. There is a tremendous of opportunity in the bank – from behind tower, to – in the waiting area, to limited time offers, to perceived wait time, to pure customer engagement. I think one of the RP’s response you talked about three or four different areas in the bank they would like to see the possibilities for digital. One of the key areas in the waiting area were a tremendous amount of banks right now will put in a CNN type TV, CNN type of entertainment to help or perceive wait time and provide entertainment and customer engagement. With that said, they are looking for a product that maybe advertising agnostic. I don’t want to be bank A inside my waiting area bank B has commercial plays 14 time as day. So there is a tremendous amount of opportunity and marketing power that could be instituted in that area. Behind teller, you know during busy hours, lunch hours, after-work hours, behind teller represents another area to have bodies viewing the signage.
Paul Adolf – Analyst: Okay. And the requests, I mean, the interest you will be getting from them, are these large banks or local banks?
Scott Koller: They are large banks.
Paul Adolf – Analyst: They are large banks. Okay.
Scott Koller: They a large, global institutions.
Paul Adolf – Analyst: Okay. So. From the point that you are currently dealing with this, if it were to get into – if we were to actually get a deal from these guys – what kind of cycle are you looking at within next three or four quarters or – I mean, I am saying if, if something ever develops?
Scott Koller: I think during various stages – Terri, would you like to comment on that? There are various stages. Obviously we have one is piloting and is very serious about looking at what it can do for their environment, and they may have some others that are just starting with the RP today. I don’t anticipate but I can’t really speculate, if you will, or anticipate the sales cycle be it historical within, but you know, again there is a feeling of (inaudible) and they are just brining in the competitive information to look at.
Paul Adolf – Analyst: I see. I see. Okay. I will just leave the queue to others. Thank you very much.
Scott Koller: Thank you very much. Appreciate your call.
Operator: At this time, I would now like to turn the conference back to Erin Haugerud for closing remarks.
Erin Haugerud: I would like to thank everyone for their participation on today’s call. The dial-in information from domestic and international locations along with the archived recordings can be found on our website at www.wirelessronin.com. Thank you and good-bye.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the program and you may now disconnect. Everyone have a great day.